Kristian Tammela: Good morning, all and welcome to Huhtamaki’s Investor Call for the First Quarter of 2025. My name is Kristian Tammela, VP of Investor Relations. Today, we have a presentation from our President and CEO, Ralf K. Wunderlich; and followed by our CFO, Thomas Geust. After that, we will have time for Q&A as always. So with further ado, handing over to Ralf.
Ralf Wunderlich: Thank you so much, Kristian, and good morning to all of you. Very happy to be here again and report on our first quarter results. We are also happy to say that we had a stable performance in a very volatile environment. The uncertainty in the environment clearly increased during the quarter. However, our financial performance was stable and at prior year’s level. We are also proud to say that our program to improve efficiency is proceeding well, and we are now at total savings of €87 million with a cost to achieve of €25 million by the end of quarter 1, hence, really tracking well. We have also taken actions in our three focus areas, which I alluded to during our last call. Let’s turn over and look at the tariff situation for Huhtamaki. Look, overall, the situation is evolving every day and it is way too early to draw conclusions. We are well positioned to manage the situation. Our business is mostly local. And it’s local for local with both the supply side and the demand side being local. So we are well positioned from that perspective to deal with the situation. We are monitoring and we are adapting to changes which might come. We talked about our strategy last time, and I’m happy to confirm that we still see it very much intact, and we are supporting it with those three areas, our focus areas, and those will help us to drive our profitable growth forward. Those are: number one, profitable growth supported by all levers, organic and inorganic; second one is about disciplined capital allocation; and the third one is all around increased accountability and hence, also increasing the speed of execution. Let me dive into a bit of detail on those. And I’m going to start on the right side with accountability and speed of execution. We are happy to report that over the last quarter, we worked on a number of those areas. We already on day 1 announced that we are splitting foodservice and fiber into two different businesses. They have very different focus areas, and now they can manage those in a much more dedicated fashion. We also announced that we have now a global procurement organization. That procurement organization will make us even more competitive and will help us to drive profitable growth. And then we are empowering the business segments in a number of different areas. We already announced that sustainability, especially operations and product-related sustainability will be moved to our segments who can then implement much faster. The very same is true and already announced for our business development and strategy function. They will be close to their businesses. They will know what’s happening in the markets, and hence, they will be able to support the businesses and the segments to act and react much faster. We are now also planning to bring human resources operations as well as local IT support towards the segments to strengthen them even more. Now the center and the functions in the center, which will remain in the center, are all about very specific expertise or center of expertise, governance, coordination and all areas where we will create value by having those functions combined and coordinated in the center, namely tax, treasury and procurement. Talked about disciplined capital allocation last time, and this remains a very important part of what we are doing. We are scrutinizing all CapEx. We are making sure that we are deploying it behind the most value-creative projects. And then finally, we want to continue our profitable growth agenda. It’s an environment which is very, very difficult and uncertain. And still, we have an agenda of organic growth and inorganic growth, and we need to use both levers. On the organic side, we need to be even closer to our customers. We continuously improve our relationships and deliver on the basics. It’s all around the basics on time, in full, in spec all the time, hassle-free for our customers. That will help us to grow organically. And then we have the inorganic side, and it’s important for us to find projects which obviously need to fit nicely into our strategy, are financially sound, offer us clear synergy opportunities, are in segments in which we are strong already with strong teams. And we are looking at bolt-ons, which are in products and technologies, which we know well with management teams which fit nicely into our culture. I am very happy to announce that we were able to sign and close, in fact, last evening, late last evening, an acquisition of Selwyn Farms in North America. It’s a one-factory, privately-owned company of sales, with sales of approximately $20 million. It’s in the egg business, and flat egg and carton’s egg packaging business, which fits really nicely to what we see as a growth driver for our North American business going forward. So it’s a nice addition to what we think is a very clear strategic move for us. Let me turn to our business performance. From a group perspective, we see that a number of our key performance indicators are exactly in line with what we delivered in Q1 last year. So, net sales in line, although comparable growth was slightly decreasing by 2%, adjusted EBIT spot-on last year with 98.5% and also our EBIT margin with 9.8% exactly in line with last year. We are proud to say that our adjusted EPS, however, did improve by 7% and stands now at 59 cents. We reduced our capital expenditure by €6.5 million and still are able to support our business growth really nicely. Some details about our segments. Let me start with Foodservice. The soft demand in foodservice continues also in the quarter, and we saw a decline of comparable growth of 4% in the quarter. That resulted also in a decline in EBIT. However, we were able to compensate a part of that decline with our efficiency measures and our cost out measures. So we are a couple of million, €2 million down on last year with a margin of 8.5%. It’s important to state that in foodservice, our raw material input costs remained at the same levels as last year. Let me turn to North America. And as anticipated in the last quarter’s result, we saw a very strong pull into Q4, and that pull of Q4 was, of course, then seen in the first couple of months of the quarter in 2025, as well as seasonality of our Easter holidays, which this year are much later, end of April, so in Q2. So both of that didn’t help our top line, and our comparable growth in North America did decrease by 3%, driven by both volume as well as pricing. I’d like to state, though, that two out of our three categories were at last year’s level, namely foodservice as well as consumer goods. The sales decrease, which I was just talking about, really happened in the retail tableware category. Also in North America, input costs, raw material input costs remained at previous year’s level. Our margin in North America for the quarter is 11.7%, and we are showing an adjusted EBIT of €40.5 million. Let me turn now to Flexible Packaging. In Flexible Packaging, our focus on margin improvement continued and yielded in good results. We were able to really work on our cost out as well as on our overall product mix quite a lot, and we saw that even though that our comparable growth declined by 2% in our adjusted EBIT, which significantly improved by €5 million, and it stands now at €26.6 million with a margin of 8.1%. As in North America and Foodservice, also in Flexible Packaging, input raw material input costs remained at last year’s level. And last but not least, Fiber Packaging. Fiber Packaging continued its very strong performance. It did grow comparable growth by 10%, both driven by price and volume and was able to bring this to the bottom line. So adjusted EBIT improved by 40%, now at €12.3 million with a margin of 12.8%. Here, we were able with the input cost raw material input costs, which did increase to pass on those additional costs to our customers. I’d like to give and hand over now to Thomas Geust, our CFO, to walk you through our financial review.
Thomas Geust: Happy to take over at this point and continue where Ralf stopped. The heading here says a lot, EPS driven by lower financing costs. So as Ralf said, we managed well in this volatile market to defend both our top line and our adjusted EBIT on previous year’s level, reminding you of the fact that quarter 1 is normally one of the quarters which have variations between years. So that’s also to be accounted for when we look at some of the numbers, which I will be presenting. So the EBIT margin, we remain on previous year’s level with a slightly improved EBITDA margin. And looking at the parameters contributing to that one, we are still getting the biggest benefits in our gross margin from value add. So managing the cost levels well and obviously, for industrial company, managing cost levels are significantly important when the top line is still moderately soft. Looking at the other lines of this more detailed P&L, you can see that we have benefits from FX. The benefits from FX participate both to the top line and to the EBIT. And then on top of that one, we can conclude that our net financial items are contributing positively to the EPS. So it’s really that part, which is contributing positively as the adjusted tax rate remains on previous year’s level roughly. You might remember that last year in Q1, we had a negative impact in financing costs from the devaluating Egyptian pound, which is not in the like-for-like numbers here. Looking at the currencies. Currencies are obviously a theme of interest for a company which has a lot of business in the U.S. The U.S. dollar has been quite fluctuating over the last weeks, as we all know, going from up to weakening to $1.15 roughly. And you can see that compared to where we reported in the Q1 where the average rate was from our point of view, a good level of $1.05, closing rate $1.08. But as I said, the predictability of the U.S. dollar is quite difficult at this point of time, other currencies, mainly closing trending negatively in the first quarter, especially when looking at the closing rates. Happy to state that we remain on a good leverage level, so at a net debt to EBITDA of 2.0. So our deleveraging down to the two level stays firm. Our gearing is at 0.59. So also there, we have improved over the last year significantly. And then if we think about the cash position, we have strong cash in the balance sheet and unused committed facilities of €404 million. So we are well positioned in volatile times. Our net debt is down to €1,252 billion. Net debt sorry, the loan maturities are on a healthy level. We are obviously, as you have seen, actively renewing our debt structure in order to maintain the maturity at a good level. Our average maturity is now at 2.9 years when it was at the end of Q1 2025 at 2.6, maturing facilities coming up, for instance, should shine here in Q2. The cash flow was a disappointment as it’s a negative one, but there are some excuses to it as well, partly the seasonality in Q1, where the Easter this year in North America is in end of April, sorry, so really at the back end of the time. But clearly, looking at the working capital here, we are flat on both inventory and then you can see that we have been active in paying our trade payables. So cash flow is and remains a focus area, and we are actively working to turn the trend positive. But I would say seasonality or timing is the main element here. As Ralf alluded to, our capital expenditure is on a lower level than previous year. We are not shying away from doing capital in the areas where we find the returns and where we believe the timing is right, but we are quite strict on going ahead of the curve when it comes to capital. Looking at the balance sheet, the balance sheet movements are to a great extent, FX related beyond what I already said about the working capital. So main movements here coming from FX revaluations. And then looking at the return on investment, where we have been ticking upwards over the last year. We are now at 12%. We were at 12.1% at the back end of last year. But as you can see, we are improving significantly versus previous year, reminding you of the fact that it’s quite a lagging indicator, so coming through slowly. When we turn to the long-term ambition, the long-term ambition, as you might recall, was launched in 2023. Here, we have the story of comparable net sales remaining below our target ambition, so a minus 2% in the quarter for comparable net sales growth. Adjusted EBIT margin slightly below our range. As you recall, we ended up for the first time on a full year basis last year at 10.1%. And then looking at the return on investments, we are still 1% point below our lower corridor of the ambition. Net debt to EBITDA, as stated, remains on the low end of the corridor. And then today, we will have the AGM deciding on the payout of the dividend. On the short-term risks and uncertainties, there is a small update with regards to the trade tariffs, including them in the risk profile. Beyond that, our outlook and short-term risks and uncertainties remain unchanged. And with that one, I would open up for questions and answers.
Operator: [Operator Instructions] The next question comes from Lewis Merrick from BNP Paribas. Please go ahead.
Lewis Merrick: Good morning, Ralf and Thomas. Thank you for taking my questions. Just to start, if you could give us a bit greater detail on the cadence of the volume development in the quarter, and equally, what you’ve seen early into Q2. Were there any differences really to call out between the months across the business? Or is it fairly consistent throughout the quarter? And I’ve got one follow-up.
Thomas Geust: Sorry, Louis, we have quite a difficult time getting your question. I don’t know if it’s echoing your background or whether it’s our system.
Lewis Merrick: Okay. Maybe I can just repeat. If you could just give us a bit of a greater detail on the cadence of the volume development throughout the quarter, I mean, were there any sort of differences to call out during the quarter? I know you mentioned in North America, the order pull forward and whatnot, but are there any sort of differences other than that to call out in the development for volumes through the quarter?
Ralf Wunderlich: Yes. Thanks, Louis, for the question. Yes, look, I think you could divide the quarter really into two parts. We saw at the beginning of the year, January and February were much softer than March. And as I alluded to, that was driven by a pull from volumes into 2024, especially in North America. So that’s really explaining a part of it. The other part in North America, as I mentioned, was explained or is explained by the seasonality of Easter, which is then also seen on the balance sheet side with increased inventory. So there is that story and mainly in the retail market and we see, of course, now with Easter in April, we see that, of course, going in our direction in April with Easter now in April. So we, of course, see that trend now reverting into the other direction for April. If you look at the two others, so far for foodservice, we see pressure already for a number of quarters. People just don’t have the spending power to go back to QSR in the way we are hoping for. We see promotions coming. We see more and more promotions coming from our customers to bring the traffic back up. We see slight improvement, but we don’t see the improvements we would like to see yet for our customers there. So that continues. And it’s a soft market on the QSR side. On the flexible packaging side, however, we purposely wanted to look at our mix, and we wanted to make sure that we grow in areas where we are strong, where we have higher yields, and those where we don’t, we are not that keen to grow as much. So there is much more of that happening with our own management, as you can see in the results of flexible packaging as well, which were €5 million or so up versus last year. So that’s much more of a choice we are seeing. And then, as I mentioned, the one exception to that is the fiber business, where we can still see really good volume growth, other than price impacts, which are positive. So I would say that’s kind of, again, the summary of those markets. We see no big change in those trends in the second quarter, other than the seasonality, which I mentioned with Easter coming up now in Q2.
Lewis Merrick: Thank you. And when you’re speaking with your customers, what are they telling you about their current inventory levels? And given the current macro uncertainty, should we be thinking about possible destocking effects in the coming quarters?
Ralf Wunderlich: Yes. Look, we see especially in North America, we see that inventory was built significantly at the end of last year. We see that, and we see that our customers there are now working with a lot from inventory. So, we see that impact clearly. We have seen and that’s maybe because of the environment and the discussions around tariffs that customers, in general, did stock up quite a bit. So, now working with the stocks just to see on how things are developing over the next weeks or months. So, we see that happening as well.
Lewis Merrick: Okay. Thank you. I will turn it over.
Operator: The next question comes from James Perry from Citi. Please go ahead.
James Perry: Good morning. Thanks for the presentation. I would just like to talk a little bit more about fiber packaging. Obviously, you had a strong 10% comparable growth when most of the other businesses seem to be down low-single digits. What do you think is driving that outperformance would you say, compared to the other businesses? And do you think the conditions allow for sustained growth at this level throughout 2025, or is this mostly short-term or due to an easier comparison basis?
Ralf Wunderlich: Yes. Thanks James. So, look, I think the fiber – our fiber packaging business is well-positioned to continue its strong path. And in fiber packaging, you know that all of that depends on not having avian flu in some of our geographies, which we currently don’t have a lot of that impact in any of our fiber businesses across the world. So, that’s of course helpful. But I think we are doing lots of things right. The management team is very committed. They know their customer base. They know their asset base. So, there are a lot of things happening in that business, which is just helping us to perform well and maybe outperform the market slightly. So, we are very proud of that. I talked to, James, in the beginning about delivering on the basics. It sounds very simple, but it is a big thing to be hassle-free for your customer to deliver all the time in full, in spec, and make their life very easy. And if you think about egg packaging and you think about farmers, they just can’t afford not to have the packaging there. They need to sell their eggs. Most of our fiber business is for the egg business, so they just need to have it. We are doing a good job there, and we are benefiting from that.
James Perry: Okay. Thank you.
Operator: The next question comes from Maria Wikstrom from SEB. Please go ahead.
Maria Wikstrom: Yes. Thank you. This is Maria from SEB. Thank you for taking my questions. I wanted to touch upon the Easter impact mainly in the U.S., I mean given you have three different segments in the U.S., so if I would think that the Easter impact had the biggest impact in the retail tableware segment. And then if you discuss a bit about the profits – adjusted EBIT down 15% in North America on the sales that is just down a few percentage points, so why magnitude is so much bigger in the adjusted EBIT, please?
Ralf Wunderlich: Yes. Thanks Maria. So, the three segments which we have in North America are not of the same size. So, the retail tableware business is the largest size. And we have our China product also a high-end product in the market. So, it is a very important segment within our North American portfolio for us. So, seeing retail not growing or in fact, having negative growth is impacting our North American business quite a bit, as we can see. Now, the good news here is, as I mentioned before, and it’s important to really see the two factors driving that. One is there was especially on the retail tableware side, where you have a large portion being imported into the market, we clearly saw a pull into Q4 last year where speculation of tariffs happened, and we saw stocking happening, especially in that market in Q4. And then that’s a clear factor as well. The late Easter, the seasonality of that is clearly then pushing away sales in retail, especially from March into April, so that’s the other factor, which look, we were clearly aware of and we worked especially to make sure that we are able to deliver then in April to the retail and the other markets. Hence, as my CFO reported, we saw the inventory build there as well. Hopefully, that helps you, Maria.
Maria Wikstrom: Yes, absolutely. Thank you. This is very helpful. Then I wanted to touch upon the raw material outlook and especially now as we have seen the oil price to come down quite a bit. So, do you think I mean if we see resin prices following the oil price as they typically does, do you see a short-term margin gain from lower raw material bill?
Ralf Wunderlich: Yes. No, we see for the – certainly for the next quarter, we see raw material input prices going sideways. So, we don’t – of course, we are monitoring like you are, what’s happening there. But we don’t see any short-term impact to us neither way, neither positive, nor negative. So, we see that certainly for the next quarter going sideways. And then not only on the oil side, but also of course on the whole tariff situation, we are going to monitor and adapt accordingly. But from today’s perspective, we see all of that going sideways and the tariff side, as I mentioned in my opening, not being a big impact to us with our local-to-local business model.
Maria Wikstrom: Thank you. And then my final question, as you mentioned here that the volumes were down, but sales prices were up. So, can you classify that in which segment you saw the sales price coming up in Q1?
Ralf Wunderlich: Yes. So, we saw sales prices going up especially in two of our segments. So, we saw them, as I mentioned going up nicely on the fiber side and on the flexible side. On the fiber side, really driving the higher input costs on the fiber side. So, we were able to recover those and pass those on. And then on the flexible side, it was driven by mix, by focus on higher-end products and higher value-added products. So, we saw those two having price mix positive impacts, whereas foodservice and North America, as reported before, had negative price/mix impacts.
Maria Wikstrom: Perfect. Thank you, Ralf. This is very helpful. I have no further questions.
Operator: The next question comes from Kevin Fogarty from Deutsche Bank. Please go ahead.
Kevin Fogarty: Hi. Good morning everyone and then thanks for taking the questions. If I could have two, please, firstly, just in terms of the program to improve efficiencies. I just wondered if you could tell us of the remaining kind of efficiencies to be realized, what do you think the sort of cadence might be over the next couple of quarters in terms of when they are realized? And just secondly, I appreciate it’s small in nature, but today’s acquisition. Just wondered if you could provide a bit more bit more detail in terms of what you think that brings you either in terms of presence or technology or what the attractions you saw there would be useful. Thanks.
Ralf Wunderlich: Thanks Kevin for those two questions. So, we are of course extremely pleased that we are tracking – continuing to track positively with regards to our cost efficiency program. And I mentioned it last quarter. And of course, every quarter I report about this, I am getting more confident that we will be able to close that project ahead of time. We communicated that it will take us 3 years. We are halfway through it, and we are very confident having now delivered, as I mentioned, €87 million that we will close and be able to deliver on our promise of the €100 million ahead of time, so very confident. We delivered €11 million during the quarter, so it is continuously going in the right direction and lots of actions are in place. And the same is true for the cost to achieve. We are now at €25 million, so significantly lower than the cost to achieve, which we communicated. Also here, we are very confident that we will be able to remain below the cost to achieve, which was communicated. So, very pleased with this program. It is essential in times where the markets are soft. Let’s be clear. I reported that three of our segments did not see comparable growth, right. We as a company, we didn’t see comparable growth this quarter. So, it’s extremely important to drive our efficiency programs to make sure we get support on the cost side. Second point and I am really glad you are asking about the acquisition. Of course, we are extremely happy that we were able to sign and close that acquisition even though it’s a small one, but it is exactly what we want. We are looking for bolt-on acquisitions. We are looking for acquisitions which fit exactly to what we want to do, invest into segments which are higher yielding than others in geographies where we have very strong management teams with products and technologies, which we understand really well. And of course, they need to be financially very sound. Zellwin Farms is going to be accretive for us in year one. And that is both in terms of margin and in terms of returns. So, it is a tick-tick, even though it’s small. We will deliver on that project, and we will get as I mentioned last time, we will get confidence for us internally, but also for you externally, build up by doing those smaller bolt-ons. That’s exactly what we want to drive here.
Kevin Fogarty: Thanks. That’s helpful color. Thanks very much. Thank you.
Operator: The next question comes from Victoria Adesina from Barclays. Please go ahead.
Victoria Adesina: Hi there. Victoria here on behalf of Gaurav Jain. So, just two for me, when we are thinking about capital allocation, is there any chance that we could see some share repurchases coming from the company? And obviously, you just mentioned the bolt-on M&A there as well. Is that going to be focused across all segments or particular segments are a higher priority than others? And then last question for me is just if there are any early observations since the PPWR implementation.
Ralf Wunderlich: Yes. Thank you, Victoria. So, let me make sure I remember all your three questions. So, let me start with capital allocation and capital discipline. So, we are looking at overall capital discipline in various ways. Number one, we want to create shareholder value by investing into our business. And that’s true both for the organic side as well as the inorganic side. So, we will support organically our business in those three big areas, which I mentioned to you, which is around maintaining the assets which we have, which is around efficiency and productivity and which is around supporting growth. And then there is always this underlying smaller part, which is the license to operate, which is sustainability, which is safety, which is regulations. So, all of those points, we need to also have. And then we need capital to invest into the inorganic side, like now with Zellwin Farms. It’s a smaller acquisition, but still it’s an acquisition which we need to finance, and that’s where we need our capital for. And then how do we return capital to shareholders, it’s first and foremost via dividends. We are having a 3% dividend yield. If approved today in the AGM, which will start in a couple of hours, if approved there, we will have and we will see the 16th year in a row of Huhtamaki where we see increasing dividends. So, that’s extremely important. We will have an CAGR of 8% on our dividend side. And then if we don’t find ways to allocate capital in a way that we see returns coming, we will look at other means. We are not close to looking at other means of returning capital to shareholders. But first and foremost, we believe that investing back into our business is the best way to get capital working in the way shareholders create value. We can create value for shareholders. Second question is around the bolt-on acquisitions and in which segments we do those. So, I mentioned that we are going to be very clear about the segments we want to invest. We want to invest in segments which are higher yielding. We want to invest in segments which have teams, which can take on acquisitions, even smaller bolt-on acquisitions. We want to invest where we know the technology and the product really well. So, look, we have of course, a couple of our segments which are performing really well. So, likelihood that we would invest in those is higher than the others. Having said that, and the two others, we have certain spots and markets and geographies where we are also performing really well. So, as long as we take what we say are our four criteria, we are open to look at bolt-on acquisitions in our segments. And then the third point was around PPWR and the implementation, which is coming closer. So, it’s going to be implemented in August ‘26. Look, there are no news from our side on that side. So, we are well prepared. We think we are ready to support our customers with the new regulations and we are very supportive of them. Answers your questions, Victoria?
Victoria Adesina: Yes. It is helpful. Thank you.
Operator: The next question comes from Cole Hathorn from Jefferies. Please go ahead.
Cole Hathorn: Good morning. Thanks for taking my questions. I would just like to understand how you see sequentially volumes from here. Is it right to assume that Q1 is the weakest quarter of the year? There was pull forward into Q4 last year, and there was a timing of Easter. So, volume should still sequentially be better in 2Q due to benefits from Easter despite the QSR softness. And secondly, on North America, I would just like the moving parts of how you see EBIT performing into the second quarter. Retail tableware is your highest margin business. It was impacted by pull forward. I am just wanting to understand how you see that kind of retail tableware business going forward from here and how it might improve your margins and the EBIT performance in second quarter and third quarter? Thank you.
Ralf Wunderlich: Thank you, Cole. So, let me start then in more general terms, and then I will move on to your specific North American question. So, look, in general terms, Q1 is from a seasonality perspective, our softest quarter. There is clearly for us a seasonality, which we see globally. I will come to North America in a second, which has Q1 as our weakest quarter so. Of course, look, all of that depends on how the market will recover on what’s happening geopolitically and on the tariffs side. So, let’s put this on the side. What we are expecting is that we are going to see stronger and again, due to seasonality and due to CapEx, which we have invested stronger quarters ahead of us. So, that’s the first general point. You might remember that we have, especially in North America, two investments coming up on stream during the year, one ag packaging where we invested in Hammond. That’s not the acquisition we were talking about before. But before that, we already invested in Hammond. We are ramping this up during the year. We should see an impact in Q3, and then we should be at run rate starting Q4 this year on the Hammond side. And you might remember that it was an investment of $100 million. So, we think high level, half of that should result into a sales number. So, that’s significant. On the very back-end side of this year, we will also see in Paris, Texas, an investment coming on the carton side. So, this will help us at the back end of this year. So, we won’t see a lot this year, but it’s of course helpful to see that investment coming up on stream as well. So, overall with the CapEx, which we have invested in North America and in other segments, combined with seasonality, which will help us and then hopefully, a market which will during the year, start to recover, we see that the year ahead of us gives us good opportunities. North America specifically, we believe that the retail tableware market is a very strong market. We believe it’s a nicely growing market. It was also supported by our competitors who invested heavily in this market. So, it’s not just us seeing that market being very interesting, but it’s seen like that in the industry, we are a strong player in this market. And yes, we have had this, as you mentioned correctly. We have had that stronger impact in the first quarter due to the two factors, the pull into last year and then the push-out because of late Easter this year. So, that’s clearly a factor in retail, which was a Q1 effect.
Cole Hathorn: Well, thank you. And then just as a follow-up, are there any product categories where there might be a lot of tariff inflation in the U.S. that may impact your sales? Traditionally, I always used to think about Huhtamaki as roughly 60% on the shelf and 40% on the go. But I am just wondering if there is any product category where there is a lot of kind of import of raw material from your customer side that may drive them to drive – raise pricing and impact your volumes? I wouldn’t expect that, but I am just wondering if there are any specific product categories that may impact Huhtamaki.
Ralf Wunderlich: Yes. Look, it’s a fair question. Of course, we are monitoring the situation and we are modeling what would happen if, and that work continues. I think our conclusion today is that we shouldn’t see any big impact here, so neither from the supply side as we are dual supplied in pretty much all our raw materials. So, we will have supply of our inputs coming from the U.S. So we – and they are getting their supplies mainly from the U.S. as well, so we don’t see a significant impact on that side. And the same is true on how we sell our products. It’s mainly in the U.S. So, it’s really local for local. So, we are not expecting that. There are imports of course in some categories, like I mentioned before, on the retail side we see. We see, of course imports coming in. So, it’s to be seen what happens with those. And again, the tariffs are moving in all directions very quickly. So, it needs to be seen what happens once that has settled down. And if the tariffs would stay high, of course then American produced products can get more attractive. But this is way too early to think as it’s so much moving on.
Cole Hathorn: Thank you.
Operator: The next question comes from Lewis Merrick from BNP Paribas. Please go ahead.
Lewis Merrick: Hi again. Thanks for the follow-up. Just on your fiber packaging business, prices for OCC have risen quite dramatically in recent weeks. Have you been able to implement positive pricing to offset that cost pressure in Q2, or is there likely to be a lag until Q3, similar to what we saw in Q3 and Q4 of last year?
Ralf Wunderlich: Sorry, Lewis, the line is really not great. I understood that you are asking about raw material costs in fiber, was that correct?
Lewis Merrick: Correct. Specifically for OCC and how that’s going to have you been able to implement positive pricing to offset that cost pressure…?
Ralf Wunderlich: Yes, I get your question. Thank you, Lewis. Yes. So, yes, we are seeing the input costs on raw material for fiber going up. We are very close to our customers. We don’t have in fiber long-term pricing contracts, so it’s moving. The pricing is moving. It’s always up to us to be very close and react very quickly when that happens. You have seen in the past that we would have had months where we would have an impact one way or the other, either being a bit too late in passing on or being able to hold on, on the higher prices for a bit longer. But that over a year always plays out neutrally. So, we are very confident that the higher input costs can be passed on to our customers.
Lewis Merrick: Thank you.
Kristian Tammela: Thank you for attending the event today. That was all on the questions side that we had. Again, if you have any follow-up questions, please feel free to reach out to the IR team. And with that, we wish you a great day. Thank you.